Operator: Good day, ladies and gentlemen and welcome to the Team Inc. Pre-Announcement Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference call is being recorded. I’d now like to turn the conference over to your host Ted Owen, President and CEO. Please go ahead.
Ted Owen: Thank you Abigail and good morning. My name is Ted Owen, and I’m Team’s President and CEO. Joining me this morning is Greg Boane, our Senior Vice President and Chief Financial Officer. The purpose of this morning’s call is to provide additional color on the pre-announcement press release that we issued early this morning. While we did not provide guidance for the first quarter, we have clearly missed our own expectations for the quarter and that with of the analysts who cover us. Consistent with our established practice, we think it’s important to reset expectations as soon as we can, when we know there is a miss, and that’s why we issued the release this morning. This call is not a substitute for our usual quarterly earnings call, which will occur next Wednesday, October 7th after we issue our full earnings release after market on Tuesday, October 6th. Without reading the full Safe Harbor statement this morning, I do refer you to the disclosure about forward-looking information that is included as the last paragraph in this morning’s press release. As indicated in the release, we expect to report first quarter adjusted earnings of about $0.22 per share, when we issue full results next week. That’s well below last year’s adjusted earnings of $0.34 per share and is well below the consensus Street estimate of about $0.42 per share. Broadly speaking, we’re now experiencing softness in our end markets due to continuing commodity price pressures and due to the weakness in foreign currencies, particularly the Canadian dollar and the euro versus the U.S. dollar. The near-term impact on our business is felt most acutely, the closer our customers are to upstream markets; Canadian oil sands, the Marcellus, the Bakken production, as well as integrated oil company refining operations. While our activity levels are very good entering the fall turnaround season, our experience is that market lethargy usually extends beyond single quarter. And consequently, we have lowered our internal adjusted earnings expectations for the full year to $2.15 per share. So where are the issues? From a revenue perspective, there are three categories: One, flat domestic revenues in Mechanical Services; two, real decline in Western Canada activity levels in both Mechanical Services and IHT; coupled with three, the impact of weak foreign currencies against the U.S. dollar. The currency impact on revenues was about $6 million in the first quarter. In other words, revenues would have been $6 million higher using the same FX rates that existed in last year’s first quarter. It’s important to note that IHT actually had significant organic growth of about 13% in the United States in Q1. Overall, Quest revenues grew about 15% in Q1, and while Qualspec isn’t reported separately as it’s a part of our IHT business unit, our revenues from that acquisition were about $24 million in the quarter and about as expected. So, where the earnings short falls? In comparison to last year’s first quarter, about $0.10 of the shortfall is in Mechanical Services. Flat revenues coupled with lower utilization of resources resulting in a 300 basis-point reduction in gross margin and an operating income decline of about $3 million compared to last year’s first quarter. While IHT experienced an overall growth in spite of headwinds due to currencies and oil sand issues, 6% overall organic growth for IHT and again as I said 13% in the U.S., it also suffered from lower margins of about 100 basis points due to market conditions. Quest had an outstanding quarter. Revenues were up 15% and earnings up more than 100% due to the significant pipeline project in the Middle East that we discussed in the Q4 call. Additionally in the quarter, our interest costs were up about $1 million due to the Qualspec acquisition, and our corporate and support costs were also up about $1 million as we prepare for the implementation of our new ERP system. Now, I know that’s all little confusing without the detailed financials to follow along with it, but I wanted to just give you a glimpse into the near-term issues. Again, the full release will be next week with our usual call on Wednesday, October 7. Now let me talk about our short and mid-term outlook. As we’ve discussed in the past, we’re not a backlog driven business, and our visibility beyond 60 to 90 days is limited. However, our activity levels early in the fall turnaround season are quite strong, and even in Western Canada where we saw particular first quarter demand weakness, we are in the midst of a robust fall turnaround season. Our IHT outlook including Qualspec is quite good. However, for Quest, we’re seeing some significant near-term project deferrals and our mechanical service outlook is softer. We just don’t see the number of large projects in Mechanical Services that we had in the fall of 2014. But we’ve seen this scenario before, and we will adjust to market conditions and balance our resources appropriately. The great thing about our business is the breadth of our service offerings. We like the relative resilience of our business mix, which is concentrated in operating rather than capital related expenditures and in down and midstream rather than upstream infrastructure. We know that fundamental demand for inspection and maintenance is driven by the population of operating facilities, and it’s not subject to long-term deferrals. I am proud of our company and my colleagues and I look forward to an exceedingly bright future for Team. So with that let me open the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Craig Bibb with CJS Securities. Your line is open.
Craig Bibb: Hey, Ted. It sounds like…
Ted Owen: Good morning.
Craig Bibb: Good morning. It sounds like the revenues are holding up pretty well at IHT, but the margins are down, so there is price pressure. Am I correct?
Ted Owen: Well, it’s price pressure; it’s kind of resource utilization issues, it’s kind of reduction in some cases of resident manpower on site, so crew sizes have been reduced in a couple of places. So, it’s just general market lethargy and I think the psychology of an uncertain environment in many of our end markets. But again, I am -- well, I am disappointed in the quarter. I am bullish on the outlook. I think we got -- we have -- in IHT, I think particularly the fall turnaround season looks quite strong, the Qualspec acquisition and the integration of that business is going quite good, have a really nice fall turnaround season underway in all of IHT.
Craig Bibb: Okay, it looks like revenues are actually holding in there pretty well and…
Ted Owen: Yes, it’s margin and resource utilization.
Craig Bibb: So, you’re expecting more revenues, and so your resources -- you had resources set up for more revenues and now your utilization…
Ted Owen: There is a little bit of imbalance in resources as we move into the fall turnaround season. So, there is always a bit of added resources in the first quarter again being the seasonally weak quarter. So again, I’d say revenues were about as expected. The weaker Mechanical Services, flat year-over-year, and that caused -- we just didn’t get the leverage on that we would normally have expected, and therefore our margins were quite contracted particularly in Mechanical Services.
Craig Bibb: Okay. And then just at IHT, it seems like if it’s a resources issue, you could have things back in balance within a quarter or so?
Ted Owen: I think that’s exactly right.
Craig Bibb: Okay. So the margins should be at least in that segment.
Ted Owen: Yes, IHT which includes Qualspec, the outlook for the fall is actually quite good.
Operator: Thank you. Our next question comes from the line of Edward Marshall with Sidoti & Company. Your line is open.
Edward Marshall: So, looking at the revenue, I guess when we were on the call on August 5, you gave revenue expectation, you also preliminary I guess gave an EPS range and you’re keeping the revenue expectations for the full year, but you’re cutting the EPS range or the preliminary range anyway. So let’s back up for a second and I think just falling up on the previous question, is this more about mix because kind of what I understand is it looks like Quest which was relatively strong for you in fiscal ‘15 looks like it’s not going to be as strong this year. So, is it about maybe taking demand from there and actually giving it somewhere else such as IHT and that’s actually the difference? Because it seems like a cost equation…
Ted Owen: I wouldn’t draw that conclusion. I think Quest will have -- Quest is relatively a smaller piece; it’s only about 10% of our -- well less now because of the addition of Qualspec, but it’s only about 10% of our total revenues. I think we’re going to be a little softer in the second quarter because of project deferrals. First quarter for Quest was actually quite strong. So, it’s just a little -- market uncertainty in the third and fourth quarter for Quest. But that’s not going to move the needle a lot relative to the total enterprise, if you will.
Edward Marshall: But saying that -- looking at the revenue expectations for the full year, it just seems like it’s driven somewhere on the cost side. And you mentioned resources, is it that you’re carrying higher employees and not able to capture that on price? I am just trying to -- I don’t know what happened on August 5 and then what’s happening today and what the differential is there?
Ted Owen: Well, the differential is that coming into the first quarter, we actually had a pretty strong June coming into it. So, on August 5, we had one month in the books, if you will and that was June, and that was pretty strong. And then in July and August, we experienced weakness, again particularly in Mechanical Services and in those areas that are most exposed to upstream. So we’re getting margin compression rate pressures from customers, deferral of projects, kind of softening of manpower loads or reduction of manpower loads, so that as we go into the second quarter, we’re just imbalanced from a resource standpoint particularly, and it’s more acute in Mechanical Services than IHT. But that’s -- our challenge is to rebalance those resources.
Edward Marshall: Are you saying that volume is stronger than you expected when you gave guidance in August and that pricing is weaker? I mean you’re giving the same revenue expectation. So, I’m trying…
Ted Owen: I think volumes are similar particularly for IHT, but lower for Mechanical Services, because our Mechanical Services, we would have expected to grow maybe 7% something like that, but rather we were flat. So, flat revenues with kind of squeezing margins had a negative impact on that part of our business. But that’s why I say -- kind of looking forward from a revenue standpoint, I think we’re going to be in that range of $1.1 billion in revenue. Again, even in the first quarter, we’re not off -- it’s more of a currency issue on revenues than anything else; it’s the impact of FX on our revenues that caused us to miss a little bit on revenues. As we get into the second half of the year, the FX affect, again assuming no further decline in currencies, will kind of even itself out, if you will. But the issue that we had to deal with is those lower utilization of resources, particularly Mechanical Services and kind of those pressures and deferrals of projects from our customers. So, our overall growth rates in the first quarter were indeed less than expected but remember, the first quarter is a seasonally weak quarter anyway. So, I don’t draw a lot of conclusions around that on the revenue side. Again as I look into the second quarter, I think second quarter is going to be pretty strong.
Edward Marshall: You mentioned currency and I guess just want some clarification here. You said 6 million of impact in the particular quarter, is that -- am I right to think that drops all the way down to the bottom line as far as the impact to the business and therefore….
Ted Owen: No. Because the costs are also local. So, it has -- if you think about -- if you think margins are roughly about kind of at an operating income line about 10% of revenues so about 10% -- the impact on operating income is probably about 10% of that $6 million.
Edward Marshall: So -- I know it’s…
Ted Owen: I don’t have that number in front of me, but something like that.
Edward Marshall: Got it. I know it’s preliminary in the last quarter and you probably ask for the guidance at that time, but as I look at it, I mean it seems as you ironing out the kinks may be last year and I guess some of the investors I spoke to this morning, what assurances can you or do you have for investors that this isn’t 2014 all over again, pertaining to guidance because as we look at 2015 it seems as though those issues were kind of behind you?
Ted Owen: Well, the part I can’t control too much is the market softness and that’s very real when the impact of commodity prices on our end-markets, the psychology of our end-markets; that’s the part we can’t control. What we can control is how we react and adjust to that and we will. I can’t give you the promises about anything, other than what we have attempted to do is in recognition of the fact -- if you go back a couple of years, we gave guidance that we adjusted it two or three times, almost quarter-over-quarter-over-quarter because we were too optimistic about our view of the world when we ran into a tough spot. What we’ve tried to do in this case is bring down our expectations so that we are in a position to under-promise and over-deliver because I don’t want to go through -- adjust this thing on a quarterly basis. But to tell you that I have perfect insight into what the market and business conditions are going to be the rest of the year, I like our position a lot, I’ll tell you that, I think we are in a great position as a company in our space, in our end-markets and we’re going to be fine.
Edward Marshall: So, you’re saying that this is a base case scenario; I mean I think that’s what you’re saying. So, that’s kind of what I hope you’d say.
Ted Owen: Well, I’ve tried -- I hope it’s a base case scenario but again I don’t -- it is my -- our best scenario that we -- it is a conservative scenario and one that we believe that we will make or exceed.
Edward Marshall: You did point out that there was some uncertainty around the price of the commodities I guess last quarter to be fair to. So, last question I guess, do you think that there is any need for cost and/or personnel adjustments right now? I mean you have the employee base that you need; is it too much given the impending demand that you see this year or what are the types of costs can you look at the kind of get margin back?
Ted Owen: Well, those are all things that we’re looking at right now in real time and which I don’t want to share all of that other than just to tell you that we’re going to get our margins corrected and our resources balanced.
Operator: Thank you. Our next question comes from the line of Matt Duncan with Stephens Inc. Your line is open.
Blake Anderson: Hey, good morning guys. This is Blake Anderson filling in for Matt. So, most of my questions have been answered. I just wanted to hit on; you mentioned rate pressure from customers and then psychology of uncertain environment. What are you seeing rationalization wise in the market and pricing; are you still seeing competitors being rational in the pricing environment or is there a big drop there?
Ted Owen: No, I mean we’re seeing everything right now., I think we’ve seen some irrational competitors in the market, we’ve seen continuing rate pressures from customers, but I will tell you probably not as many as -- back in the winter and spring you may recall we had -- when kind of first commodity price drop occurred, we had a -- we probably had a 30 to 40 what I call supply chain one on one letters from the customers. And I think we’ve dealt with those fairly effectively. We’ve seen fewer of those in kind of -- in the last -- since commodity prices kind of took another step change, we’ve seen fewer of those, but we’ve seen more kind of just cut backs in manpower from our customers so that rather than have a -- if for instance, we previously had a crew of perhaps maybe eight; this is anecdotal example, eight people on a daily basis, we were cut back to maybe six again anecdotally it’s supposed to going after rates just kind of there has been a sluggishness, a slowness in customer activity levels. We’ve seen more of that. So, we’ve seen deferral of projects; we’ve seen some cancelation of projects. So, all of those things that kind of fall into the broad category of just kind of a psychology of just the lethargy in the market environments that we’re in because of the certainties around commodity prices, world economic environment and things like that.
Operator: Thank you. Our next question comes from the line of Tahira Afzal with KeyBanc. Your line is open.
Tahira Afzal: Ted, on the Quest side, can you talk a bit more about the deferrals and perhaps the transitory nature of those? On the integrity side, there seems to be a lot of new pipeline work coming up. So, I’d love to get your thoughts as you look really sort of ahead of maybe the near-term dislocations that you might be seeing?
Ted Owen: So from a sense of the new pipeline again, so that’s not -- so from a Quest perspective, Quest is associated with the existing infrastructure. So we are doing inline inspection of existing pipe, not new pipe. So, new pipeline doesn’t impact that much. But again I think Quest had a really strong first quarter. We’re just seeing some uncertainty in our markets. And as you well know, Quest is a little bit -- it’s a little volatile or kind of the lead time for inspections is little longer can often be deferred easier from a customer perspective. And so what we’re seeing coming into the fall are some deferrals that doesn’t mean they are being deferred out of the fiscal year. Again, we’ve seen this before where we’ve seen deferrals from a quarter into simply another quarter. And so I don’t think that -- I wouldn’t read a lot into that other than as I sit here today and I’m just kind of again in the interest of trying to be as kind of fair and balanced and conservative as I can about kind of our revised expectations. The things that I know are that there are some deferrals in the Quest out of the second quarter, hopefully will fall into the third or the fourth quarter but we will see. I know that I have fewer large projects in Mechanical Services than I had maybe a year ago, I know that so. On the other hand, I know that the IHT and including Qualspec, fall turnaround activity is quite good. So it’s little bit difficult to try to balance all of that. But again it’s not a -- this is not a woe is me! The world is ending or anything either remotely similar to that.
Tahira Afzal: Got it. Ted, does this mean a bit like ‘08, ‘09? I know in ‘08, ‘09 the crash was fairly different because you also had a credit sort of crisis. So, as you look at this year, I mean are you seeing the spending -- is the client thinking pretty similar and should we see…
Ted Owen: No. I don’t think it is at all like ‘08, ‘09 for the reason -- the difference that you alluded to. The ‘08, ‘09 was -- the world wasn’t sure, we were going to all be around the next day from a standpoint -- we saw widespread mothballing of petrochemical plants and curtailment of projects and credit crisis and all of that having dramatic impacts on our end markets in ‘08, ‘09. And by the way, even with all of that, our worst year was down 15% in revenues year-over-year. And so again, our business is very-very reselling it. It’s about operating facilities. We are not -- there is no facility that’s being closed. Refining is doing quite well. There is a lot of petrochemical expansion. Even though some projects have been cancelled, there is still a lot of petrochemical expansion underway; we’re benefitting from that. So this is not like ‘08, ‘09 at all. It’s probably more like -- I’m not sure what it’s like but it’s clearly a tough environment. It’s just a cautious environment from a customer perspective because of the commodity price pressures.
Tahira Afzal: The last question on that then Ted, does that then raise dilemma of maybe holding on to your QE sources as you see this being transitory?
Ted Owen: I am sorry, Tahira. I didn’t catch that.
Tahira Afzal: Does that sort of then make you want to hold on to a lot of your key resources instead of trim your resources because you see this as…
Ted Owen: We’re going to adjust our resource to meet our expected activity level. Now, our key resources were always guys we’re going to hang on to. But we’re not going to make -- we’ve made a mistake and you might recall in ‘13 or ‘14 whatever I can’t recall what year that was in hanging on to resources longer than we should have in expectations of -- there is a kind of something big out there and we’re not going to do that. We’re going to adjust our resources to meet our activity levels.
Operator: Thank you. Our next question comes from the line of Adam Thalhimer with BB&T Capital Markets. Your line is open.
Adam Thalhimer: Why thus far has it hit the Mechanical segment more than other segments, Ted?
Ted Owen: Well, I think the big difference from a market perspective is the way I would describe it is you can defer maintenance and that’s kind of the mechanical side. So that can move a little bit. Customers don’t defer inspection very much from the standpoint of -- in the process industry. So you’re not -- so your basic inspection programs and that’s why like our resident inspection programs at Qualspec and IHT are doing quite well because you may move a turnaround -- you may defer discretionary maintenance projects but you’re not going defer the inspection of those facilities. So knowing what the condition of your facilities is, is very-very important for our owners. So, it’s just much easier, if you will, to defer the actual maintenance or project related activities than it would be inspection related activities.
Adam Thalhimer: And I guess I’m a little surprised and I shouldn’t be, but I guess I am little surprised that you’re drawing such a direct link between oil prices and the deferrals whereas a month or two ago, I think that you saw that marketplace was yes there are some deferrals but it’s due to refiners running these plants so hard, they were deferring work to keep running on so hard to take advantage of high frack spreads. So, I mean how much -- but it sounds like in your conversions with customers, they are telling now it’s more the oil pricing?
Ted Owen: Well, I think it’s all of the above. And I think what you’ve just described is true. It is also true that refiners that are more closely related to kind of integrated oil companies where cash flow is less than what it was then there is a downstream impact of that in terms of deferral of projects or capital projects or even operating projects when you have -- when you’re tied into integrated oil companies or seeing less there, clearly a lot of project activity that -- again, it’s on order of magnitude, it’s 20% not 80. But Canadian oil sands is -- almost all activity in the oil sands is tied directly or indirectly to commodities activity in the Marcellus. So, we do a lot of kind of work relative to gas plants, things like that in the Marcellus or up in the Bakken and in North Dakota and Montana. So anywhere there is a touch in upstream commodity prices, we’re now seeing -- again it’s that psychology when price of oil was still in 50s or 60s, we weren’t seeing much of an impact in our business, but when it dipped into the 40s, I think the psychology changed a little bit and people -- end market customers got cautious.
Adam Thalhimer: And just lastly for the fall turnaround season, can you give a little bit more color on what you’re seeing in terms of -- are you seeing turnaround push out or -- you had some bullish comments for the turnaround season?
Ted Owen: We’re seeing -- I am not sure we’re seeing a lot of turnarounds per se being pushed out again. And when I look at kind of in our fall turnaround season, we’ve got some really big projects as we did a year ago. So, I am not sure I am seeing a lot of difference there. I am seeing some probably trending smaller on the mechanical side, but that’s difficult to know as well because a lot of times we don’t know until it’s over because you start a project and you think it’s let’s say 20 guys for two or three weeks and it turns out to be 40 guys for a month or it might turn out to be half that. As you know, the scopes are variable in lot of these projects. So, when you’re looking at the fall turnarounds as I am, and looking at the breadth and scope and what the size of and then I look back and compare them to the number of projects that we might have had in the second quarter a year ago, it might appear that there were bigger projects in the second quarter a year ago than there are in the second quarter this year, but it may not turnout that way because of scope changes.
Operator: Thank you. Our next question comes from the line of Davis Paddock with Invesco. Your line is open.
Davis Paddock: I just wanted to -- can you remind us about how much of your business now is the oil sands?
Ted Owen: It would be less than 10% in the aggregate?
Davis Paddock: Is that all in TMS segment?
Ted Owen: No, it’s probably -- maybe probably more of it is in IHT than Mechanical Services. I don’t have the numbers in front of me but I want to say that probably -- I’d say it’s probably two thirds, one third IHT to Mechanical Services.
Davis Paddock: Okay. And then maybe just your overall percentage of sales that goes into the upstream?
Ted Owen: I think it would be less than 20% and I wouldn’t even necessarily call it the upstream; it’s kind of midstream, upstream but when I look the oil sands, the Bakken, Marcellus would be kind of the areas where we touch upstream more, but again in the aggregate that’s going to be 15% maybe. Again I’m just -- that’s from recall, don’t hold for that number. But it’s on that order of magnitude.
Davis Paddock: So, it makes perfect sense that this part of your business would weaken but can ultimately with the lower commodity prices mean better margins for your refinery in petrochemical side of your business where maybe not immediately over the next couple of quarters that that should pick up perhaps or at least stay strong?
Ted Owen: I think refining is doing fine. One of the issues that we hear again is deferral of turnarounds, although that’s anecdotal and I’m not sure I could point to any that because margins are so good, utilization is so high that with lower commodity prices that’s good for refining, that could be. Certainly low cost energy in North America is good for petrochemical industry; there is a lot of expansion going on even in the midst of previously some of the projects having been deferred or even cancelled, there is still a lot of projects going on and we’re participating in those projects. So, I think the answer to your question would be yes, I think that refining midstream, downstream energy facilities in North America are advantaged and there is not a better customer base than I think anybody could want to have. So, sometimes it’s a matter of timing, but the demand for our services is going to be there for sure.
Davis Paddock: And can you help square the two spate comments that you just mentioned, refining is doing so well; utilization is good; you’re seeing some turnaround deferrals but then you said earlier in the call that there is -- you got outlook for turnarounds in Q2 are pretty good?
Ted Owen: I think they do look pretty good in Q2, although again as I said when I look at size of projects that we have filing up, particularly on mechanical side, I can’t point to some projects that would be as big as some of the ones we had a year ago. And so whether that’s a deferral or just kind of the happenstance of customer base, it’s a little difficult to know. But there is almost kind of deferring drivers, if you will. Clearly the notion of lower commodity price is being good for kind of in markets refining, expansion of margins. Therefore, let’s keep running and defer turnarounds while margins are good, that’s -- we’ve heard that for sure. We’ve also on the other hand at the same time seen deferral of projects caused -- just seemingly associated with just curtailing discretionary projects, not so much because of frack spreads being good but because of upstream cash flows being not so good and that would be in the case of integrated oil companies that are getting squeezed on their commodity cash flows, if you will, and that is kind of trickling down through their downstream network, so kind of curtailing discretionary projects have been really-really tough on vendors from the standpoint of pricing. So, we’re seeing that too. So, there is just -- every scenario you could paint -- you could point to in this environment.
Davis Paddock: And so, I’ll make sure I understand. In Q1, your sales were off from where I think you were expecting them. And you had weakness in TMS and currency, but that was offset by IHT and Quest being a little better than expected. Is that a fair summary?
Ted Owen: Well, IHT was probably not better than expected but our overall growth rate in IHT in the quarter was about 6% organic excluding Qualspec. Now, so IHT also had a significant currency impact because of -- it has that significant presence in the oil sands so domestically. And again domestic is probably 80% of IHT, so domestic organic growth rates were about 13% which is what we would have expected. But we were kind of -- so we didn’t get our overall growth rates that we expected because of currency in Canada and weakness in Canada, just kind of the presence in the oil sands, if you will. So, it’s not all -- so the first quarter was not all about Mechanical Services. Mechanical Services weakness in revenue kind of too much -- too many resources -- so our margin issue was exacerbated in Mechanical Services, but generally decent revenue growth in IHT but not quite as strong as we would have expected. But as we head into the fall, fall looks pretty decent. So, I wouldn’t change my annual estimates of revenue from IHT.
Davis Paddock: And was Quest better than you expected and so partially offset for the weakness that you mentioned?
Ted Owen: No, Quest was probably about as expected. It was 15% revenue growth year-over-year. Actually its operating income was up over 100% but -- and we expected it to be because we had a big project that fell into Q1 that we had mentioned in our Q4 call. And so, it was kind of right as expected in the first quarter.
Davis Paddock: So, then those were for Q1 in the full year, I guess I’m trying to understand is it sounds like you’ve got some headwinds, you’ve mentioned in TMS, currency, oil-gas, lower prices. I’m trying to figure out what’s going to offset those weaknesses on the positive side in order for you to maintain your full year sales guidance? What’s better than you thought when you gave out that guidance a month or so ago -- two months ago?
Ted Owen: Well, I don’t think it’s better; I think again, it’s but for currency and truth on the revenue side, I mean if you added $6 million of revenue to our actual revenues for the quarter, that’s pretty close to what our expectations on the revenue side would have been. So, it’s not -- so, I’m not too worried about revenues. And again, there’re some things in the second half of the year that I think are on balance going to be positive from a revenue standpoint. But I just -- again my real focus is kind of the earnings side -- very soft first quarter, we got to get our resources realigned. And I just -- and that’s why we pulled down to 2015, because I think it’s going to take -- it’s not going to be -- it won’t be the day that that happens, but it will happen this quarter. And so I just -- I feel pretty good about the 2015, I feel pretty good about the directionally the kind of the 1.1 billion in revenues; there’s nothing that just doesn’t feel like it’s going to way off to me relative to the models that we’re running and kind of where we are.
Davis Paddock: And then most of the realignment of resources needs to happen in the TMS segment?
Ted Owen: Most of it, yes.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Craig Bibb with CJS Securities. Your line is open.
Craig Bibb: Hey Ted. Just a couple of more, with Mechanical Services, could you talk about where it is most exposed to the upstream? It sounds like its gathering. And then how that plays out for the remainder of the year?
Ted Owen: Well most -- the issue is again significant exposures looking up to the oil sands in Mechanical Services. So, that’s probably the most significant individual area. The interesting thing about that is…
Craig Bibb: How big the oil sands as a percentage of kind of…
Ted Owen: It’s maybe 10%, something like that. Again it’s not the business; it’s the closet to upstream activities which clearly impacted in Q1. On the other hand -- the interesting thing about that is that’s little bit difficult is that our -- kind of turnaround activity in the fall in the oil sands in mechanical is quite good, very strong right now, but that’s going to be very lumpy.
Craig Bibb: And so looking ahead, you can see that that’s slowing down in Canada and elsewhere as well?
Ted Owen: Well, I think what you seen in Canada in oil sands in Canada as with commodity prices and the rates they are right now, there is not going to have a lot -- you are going to see a lot of curtailment of activity and that’s just a fact.
Craig Bibb: Okay. Alright and lastly, can you give us some anecdotes on Qualspec, how the integration is going and…
Ted Owen: I think it’s going -- I think it could not be going better. We have -- we’re about two months into it; we are -- again what we’re doing is going slow; we’re getting to know each other, the capabilities of each of kind of the different business models between Qualspec and IHT. We’ve had a series of meet and greets with the leadership of Qualspec, IHT, myself and the local key managers and each of the key areas of operations at Qualspec introducing them to their counterparts, what I call the magical mystery tour of -- course of couple of weeks. I couldn’t be more delighted with how it’s going. It’s a -- I think it’s a great opportunity, great culture, great fit between our two businesses and the leaders of those two businesses. And I think we’re just really going to be in for some very, very exciting results from this combination.
Operator: Thank you. Our next question comes from the line of Edward Marshall with Sidoti and Company. Your line is open.
Edward Marshall: Ted, I’m curious; the peer started to see some of this margin pressure in the second half of last year yet Team held in there pretty well. And I’m curious, is there something specific to your business; is it completion, maybe there was some completions of certain projects or something that happened in the second half of last year or is it basically pure timing that I know that the refineries don’t tend to move -- they tend to move independently and maybe not at the same time? So, can you talk about maybe why you’re feeling this now, when your peers kind of saw this six months ago? I mean what the differences in the business, just so I have good understanding?
Ted Owen: Obviously Ed, I couldn’t tell you. I mean we all have different customer bases, A; our geographies are a little, B. We have a broader breath of services that’s very north of -- kind of North American focused, both inspection and mechanical. So, it’s just -- it’s really difficult to know because it just -- I think it’s the mix of all of those things. And so, it’s timing of projects, into your customer base, it’s kind of the integrated services that we offer. So, I don’t know why we experienced kind of the market sluggishness six months after some others did. I just don’t know.
Edward Marshall: I mean it seems like their numbers have reset and today you are kind of numbers resetting as well so. When I think about the deferrals, is there another way I can ask that question, maybe you can talk about the percent of your core customers and core customers, not the ancillary customers but the core customers that may your past due on maintenance that might be slated either for the fall or the spring of next year, now that utilization rates are starting to slow down just a little bit?
Ted Owen: I don’t have a good sense of that. We are in a probably 10,000 plants and facilities a year; lots of different -- we probably have 2,000 different customers. And so, we can tell you kind of what the -- on a very broad brush, we know what our major kind of customers kind of what major projects are coming up in the fall or the spring or what major news might be scheduled for a year from now. But those are -- that’s not -- those are very, very important to us but it’s difficult to use those as a gauge for what overall activity levels might be. And again, those projects can move and do quite often for a variety of regions.
Edward Marshall: But you are not talking about half of your customer base.
Ted Owen: No.
Edward Marshall: Okay. And then is it too early to assume that maybe we’ll hear potential cost plan next week when you do the earnings call or is that just too early or can you -- are you putting that together in the mean time?
Ted Owen: We’re focused on it right now but I’m not -- I’m probably not going to share that with you next week.
Operator: And I’m showing now further questions at this time. I’d like to turn the call back to Ted Owen for closing remarks.
Ted Owen: Thanks Abigail. And again, thank you all for your participation on a very short lead time. Again, just summarizing, so next week we’ll give you the full financials usual press release with financials in the call following -- where Greg will give you little more granularity on the results. Certainly, we are disappointed in the Q1 results but that disappointment in the Q1 results does not change for a second our view of our long-term outlook. We are uniquely positioned as the leading provider of NDT inspection services across North America coupled with our Mechanical Service presence that just makes us very uniquely situated. We like our position. We like our end markets. We’re just going through a bit of soft period right now. It is not at all like ‘08, ‘09 and it’s just a psychology of caution on the part of our end markets. We’ll adapt to it. And we got a great bright ahead of us. So with that, we’ll sign off. And again thank you all for your participation and interest in Team.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program. You may all disconnect. Everyone have a great day.